Ana Soro: Good afternoon. I'm Ana Soro from Palantir's finance team, and I'd like to welcome you to our fourth quarter 2025 earnings call. We'll be discussing the results announced in our press release issued after the market close and posted on our Investor Relations website. During the call, we will make statements regarding our business that may be considered forward-looking within applicable securities laws, including statements regarding our first quarter and fiscal 2026 results, management's expectations for our future financial and operational performance and other statements regarding our plans, prospects and expectations. These statements are not promises or guarantees and are subject to risks and uncertainties, which could cause them to differ materially from actual results. Information concerning those risks is available in our earnings press release distributed after the market closed today and in our SEC filings. We undertake no obligation to update forward-looking statements, except as required by law. Further, during the course of today's call, we will refer to certain adjusted financial measures. These non-GAAP financial measures should be considered in addition to, not as a substitute for or in isolation from GAAP measures. Additional information about these non-GAAP measures, including a reconciliation of non-GAAP to comparable GAAP measures, is included in our press release and investor presentation provided today. Our press release, investor presentation and other earnings materials are available on our Investor Relations website at investors.palantir.com. Over the course of the call, we will refer to various growth rates when discussing our business. These rates reflect year-over-year comparisons unless otherwise stated. Joining me on today's call are Alex Karp, Chief Executive Officer; Shyam Sankar, Chief Technology Officer; Dave Glazer, Chief Financial Officer; and Ryan Taylor, Chief Revenue Officer and Chief Legal Officer. I'll now turn it over to Ryan to start the call.
Ryan Taylor: Our fourth quarter results are nothing short of historic, capping off a monumental year for our business. In Q4, overall revenue surged 70% year-over-year, our highest growth rate as a public company, propelled by the relentless momentum of our U.S. business, which now commands 77% of our total revenue, up 93% year-over-year and 22% sequentially. Our Rule of 40 score reached new heights at 127%, up 46 points year-over-year and 13 points quarter-over-quarter, proving that hyper growth and exceptional profitability aren't mutually exclusive, but rather the inevitable outcome of Palantir delivering transformational impact at scale. We closed our highest TCV quarter ever at $4.3 billion, and fourth quarter trailing 12-month revenue from our top 20 customers increased 45% year-over-year to $94 million per customer, a testament to our customers' conviction. Our customers aren't tentatively trying AI. They're committing to it at scale with Palantir as the driving force. The rapid advancement of AI models is continuing to drive the commoditization of cognition. The next step is for the market to differentiate between those who are supplying the commoditization of cognition and those who are scaling the leverage made possible by it. We are the only enterprise software company that made a conscious choice to focus exclusively on the latter, delivering real-world value for our customers by maximally leveraging these models in production. Palantir is an N-of-1. This is what makes a Rule of 127 possible. This is why customers who have crossed the chasm with Palantir, the AI haves are defining the future of their industries, while those still on the other side, the AI have nots are fighting for survival in the present. As Johnson Controls noted about our work together, "It is really incredible to see that you can transform a 140-year-old company with the power of AI." I'm seeing this play out across our customer base. We are moving customers from AI adopters to AI-native enterprises, transforming execution into exponential advantage. This is summed up best by an executive at Thomas Cavanagh Construction, who noted, "We've gone all in so much so that every other software must justify its existence. And so far, they haven't been able to. 97% of our employees use Foundry every day. Foundry is our operating system." And he continued, "The ontology is the secret weapon. Nothing else comes close. And not only are we getting rid of third-party software, we've replaced their functionality and then beaten them to new features all within the year because of the ontology." Our U.S. commercial business grew 137% year-over-year and 28% sequentially, building on the blistering pace of 121% year-over-year in Q3 and 93% year-over-year growth in Q2, defying conventional enterprise software dynamics. This isn't just growth, it's compounding acceleration. AIP continues to fundamentally transform how quickly our customers realize value, collapsing the time from initial engagement to transformational impact. Lear noted at our recent DevCon conference, their experience starting with 100 users and 4 use cases and growing to 16,000 users and 280 use cases. We're seeing the effects across our entire customer base. Existing customers are expanding faster and larger. For example, a utility company expanded from $7 million ACV in Q1 2025 to $31 million ACV by year-end, while an energy company expanded from $4 million ACV in Q1 2025 to over $20 million ACV by year-end, driven by value generated from new use cases. In addition, new customers are starting with substantial initial deals. A health care company completed 2 boot camps with us last summer and signed a $96 million deal with us before the end of the year. An engineering services company saw a series of demos in the fall, then signed an $80 million deal before year-end. Speed to production and transformational scale is no longer optional, it's existential. Foundry remains the only platform delivering that speed at enterprise scale. This revolution isn't limited to just companies. It extends to countries with the U.S. leading the way. Our U.S. government business grew 66% year-over-year and 17% sequentially, driven by our mission impact across the Department of Defense as well as accelerating momentum in civil agencies. The U.S. Navy awarded Palantir a contract worth up to $448 million to modernize the shipbuilding supply chain and accelerate delivery of naval vessels. This engagement exemplifies how Palantir's supply chain expertise honed across commercial and defense customers is now being deployed to solve some of the most strategically important challenges facing our nation, including rebuilding its maritime industrial base. The strength of our U.S. government results reflects a fundamental reality. In an era of intensifying global threats and budgetary pressure, the government is turning to software that actually works as speed, precision and decision advantage are paramount. We're entering 2026 with extremely strong footing. Everything we've built over 2 decades is converging into this moment, and we're charging into the year with unmatched conviction as the defining enterprise software company of this generation. I'll now turn it over to Shyam.
Shyam Sankar: Thanks, Ryan. Our focus with AIP continues to be enterprise autonomy, our normative view of the value of AI in the enterprise. Hivemind now lets the AI develop novel solutions to emerging challenges and to identify hidden opportunities. And the rest of AIP enables you to turn those ideas into an implemented reality, closed-loop evolution of the business with AI possible because of AIP and ontology. The Hivemind framework is being applied to broader problem sets. We used Hivemind to generate a bespoke AIP demo for a specific customer based only on their website and other public information. The company's CTO was blown away by how good the demo fit their internal challenges, even though it was only based on information in the public domain. Hivemind is just that good. We're going to continue to invest in closing the loop between Hivemind's output and the autonomous execution of these ideas at our customers. AI FDE continues to delight. AI FDE is now capable of powering complex SAP ERP migrations from ECC to S/4, years of work now done in as little as 2 weeks. And we are generalizing AI FDE's capabilities to do this for a broader and broader set of problems at our customers. AI FDE and OSDK has unleashed pro code builders in our platforms. We serve over 1 billion API gateway requests a week from applications built by our customers on top of AIP with OSDK. Maven usage is at all-time highs, supporting simultaneous real-world events across combatant commands in the joint force. Maven will continue to be rolled out to all combatant commands and many more networks over the rest of this government fiscal year. But Maven is also pushing to the edge. We completed a live buyer exercise with Maven coordinating with UAV assets through our new Maven Edge agent called MAGE, enabling the declarative statement of mission intent and fully onboard planning reaction to emerging battlefield realities and execution. AIP is becoming the default builder platform in the Department of War. Uniformed service members, primes, federally funded research and development centers, all in Maven, Vantage, Envision, Warp Core and more, all building, not just consuming AI applications. We're seeing green suiters and blue suiters building their own agent swarms to transform how they fight. As with any good revolution, the innovation is coming from the edge, not the program offices. It's the E4 in Hawaii, the E8 in South Carolina. These are the folks pathfinding how AI is transforming the joint force with every code commit they make. Gotham's new suite of integrated capabilities, platform-run Foundry met their moment. Kairos for integrated planning and SyncMatrices, Nexus for dynamic command relationships and unit task hierarchies and Workbench to automate collections, fires and battle damage assessment. These aren't 3 stand-alone capabilities. There are 3 new dimensions of the prism that turn battlefield complexity into lethality. They all work together, building on each other. Warp Speed continued to build momentum across American industry. ShipOS was the most significant development in Q4, rolling out Warp Speed to accelerate submarine production and sustainment across shipbuilders, shipyards and critical suppliers. At one shipbuilder, we took planning from 160 hours of effort to 10 minutes. At a shipyard, we took material review from weeks to less than an hour. But most exciting to me is proving what we always believe to be true that AI will create jobs. This is Jevons paradox in action. By reducing the deadweight loss of time spent planning and ensuring the availability of materials, one of our customers were able to add a third shift because now there was more work waiting to be done that was shovel-ready and executable. We've been so impressed with the latent talent in the submarine industrial base that we're launching an American tech fellowship exclusively for them later this month. This will be an 8-week course to upskill users at suppliers and shipyards so they can build their own AI applications, unleashing the profound domain expertise to accelerate the delivery of one of our military's most important capabilities. Other Warp Speed wins, one customer making a mature weapon system at full rate production was able to improve root cause analysis coverage from less than 20% to over 99% in less than a week. On the other end, a different customer making a brand-new weapon system that is still constantly changing design was able to see a 40x improvement in throughput with a production system that scales with the design velocity rather than breaking under it. With that, I'll turn it over to Dave to talk us through the numbers.
David Glazer: Thanks, Shyam. We had an exceptional fourth quarter with our Rule of 40 score increasing 13 points quarter-over-quarter to 127%. In the fourth quarter, we generated our highest ever reported revenue growth rate of 70% year-over-year, exceeding the high end of our prior guidance by over 900 basis points and representing a 3,400 basis point increase compared to the growth rate in Q4 of last year. Full year 2025 revenue grew 56% year-over-year. On the strength of our 2025 results, we are guiding a full year 2026 revenue of $7.190 billion at the midpoint, representing 61% growth year-over-year. We reached another $1 billion milestone in the quarter with revenue from our U.S. business surpassing $1 billion for the first time. Accelerating demand for AIP continues to drive the outperformance in our U.S. business overall, which grew 93% year-over-year and 22% sequentially in the fourth quarter. Our U.S. commercial business grew 137% year-over-year and 28% sequentially, and our U.S. government business grew 66% year-over-year and 17% sequentially. We delivered these outstanding top line results with expanding profitability. In the fourth quarter, we generated $798 million in adjusted operating income, representing a 57% margin and exceeding our prior guidance by 500 basis points. Full year 2025 adjusted operating income was $2.3 billion, representing a margin of 50% and expansion of 1,100 basis points compared to 2024. We generated $2.3 billion in adjusted free cash flow for the full year, representing a 51% margin and 82% growth year-over-year. Turning to our global top line results. Fourth quarter revenue grew 70% year-over-year and 19% sequentially to $1.407 billion. Full year revenue grew 56% year-over-year to $4.475 billion. Fourth quarter U.S. revenue grew 93% year-over-year and 22% sequentially to $1.076 billion. Full year U.S. revenue grew 75% year-over-year to $3.320 billion. Excluding the impact of revenue from strategic commercial contracts, fourth quarter revenue grew 72% year-over-year and 19% sequentially, and full year revenue grew 59% year-over-year. We closed our highest ever quarter of TCV bookings at $4.3 billion, up 138% year-over-year. This eclipses our prior highest quarter of TCV bookings just last quarter by over $1.5 billion. Customer count grew 34% year-over-year and 5% sequentially to 954 customers. Revenue from our largest customers continues to expand. Fourth quarter trailing 12-month revenue from our top 20 customers increased 45% year-over-year to $94 million per customer. Now moving to our Commercial segment. Fourth quarter commercial revenue grew 82% year-over-year and 23% sequentially to $677 million. Full year commercial revenue grew 60% year-over-year to $2.073 billion. Excluding the impact from strategic commercial contracts, fourth quarter commercial revenue grew 86% year-over-year and 24% sequentially, and full year commercial revenue grew 65% year-over-year. We closed $2.6 billion in commercial TCV bookings in the fourth quarter, representing 161% growth year-over-year and 83% sequentially. AIP continues to drive existing customer expansions and new customer conversions in the U.S. Fourth quarter U.S. commercial revenue grew 137% year-over-year and 28% sequentially to $507 million. Full year U.S. commercial revenue grew 109% year-over-year to $1.465 billion. Excluding revenue from strategic commercial contracts, fourth quarter U.S. commercial revenue grew 142% year-over-year and 28% sequentially, and full year U.S. commercial revenue grew 113% year-over-year. In the fourth quarter, we closed $1.3 billion of U.S. commercial TCV bookings, representing growth of 67% year-over-year. In 2025, we closed $4.3 billion of U.S. commercial TCV bookings, a 161% increase from last year, highlighting the accelerating demand for AI production use cases. Total remaining deal value in our U.S. commercial business grew 145% year-over-year and 21% sequentially. Our U.S. commercial customer count grew to 571 customers, reflecting growth of 49% year-over-year and 8% sequentially. Fourth quarter international commercial revenue grew 8% year-over-year and 12% sequentially to $171 million. Full year international commercial revenue grew 2% year-over-year to $608 million. In the fourth quarter, we closed $1.3 billion of international commercial TCV bookings, driven by long-term renewals that we signed with several long-standing international commercial customers. Revenue from strategic commercial contracts was $2.1 million for the quarter, representing 0.1% of overall revenue. We anticipate first quarter 2026 revenue from these contracts to between $1 million and $3 million compared to $5.1 million in the first quarter of 2025. We anticipate 2026 revenue from these contracts to be less than $7 million or less than 0.1% of full year revenue. Shifting to our Government segment. Fourth quarter government revenue grew 60% year-over-year and 15% sequentially to $730 million. Full year government revenue grew 53% year-over-year to $2.402 billion. Fourth quarter U.S. government revenue grew 66% year-over-year and 17% sequentially to $570 million. Full year U.S. government revenue grew 55% year-over-year to $1.855 billion. This growth was driven by continued execution in existing programs and new awards reflecting the growing demand for AI in our government software offerings. Fourth quarter international government revenue grew 43% year-over-year and 9% sequentially to $160 million, bolstered primarily by our continued work in the U.K. Full year international government revenue grew 47% year-over-year to $547 million. We closed our highest ever quarter of TCV bookings of $4.3 billion, up 138% year-over-year and 54% sequentially. On a dollar-weighted duration basis, TCV bookings grew 166% year-over-year. Net dollar retention was 139%, an increase of 500 basis points from last quarter. The increase was driven both by expansions at existing customers and new customers acquired in Q4 of last year as we see the effect of the AI revolution. As net dollar retention does not include revenue from new customers that were acquired in the past 12 months, it does not yet fully capture the acceleration in velocity in our U.S. business over the past year. We ended the fourth quarter with $11.2 billion in total remaining deal value, an increase of 105% year-over-year and 29% sequentially and $4.2 billion in remaining performance obligations, an increase of 144% year-over-year and 62% sequentially. In the fourth quarter, we signed a few significant long-term renewals with long-standing international customers, which provide a tailwind to RPO growth. As a reminder, RPO is primarily comprised of our commercial business as it does not take into account contracts with an initial term of less than 12 months and contractual obligations that fall beyond termination for convenience clauses, both of which are common in most of our government business. Turning to margin and expense. Adjusted gross margin, which excludes stock-based compensation expense, was 86% for the quarter and 84% for the full year. Adjusted income from operations, which excludes stock-based compensation expense and related employer payroll taxes, was $798 million in the fourth quarter, representing an adjusted operating margin of 57%. Full year adjusted income from operations was $2.254 billion, representing a 50% margin. Q4 adjusted expense was $608 million, up 5% sequentially and 34% year-over-year, primarily driven by our continued investment in AIP and elite technical hiring. Full year adjusted expenses were $2.221 billion, up 28% year-over-year. We continue to expect expenses to increase in 2026 as we remain committed to investing in the product pipeline and the most elite technical talent, all while delivering on our goals of sustained GAAP profitability. Fourth quarter GAAP operating income was $575 million, representing a 41% margin. Full year GAAP operating income was $1.414 billion, representing a 32% margin. Fourth quarter GAAP net income was $609 million, representing a 43% margin. Full year GAAP net income was $1.625 billion, representing a 36% margin. Fourth quarter stock-based compensation expense was $196 million and equity-related employer payroll tax expense was $27 million. Full year stock-based compensation expense was $684 million and equity-related employer payroll tax expense was $156 million. Fourth quarter GAAP earnings per share was $0.24, and full year GAAP earnings per share was $0.63. Fourth quarter adjusted earnings per share was $0.25 and full year adjusted earnings per share was $0.75. Additionally, our combined revenue growth and adjusted operating margin accelerated to 127% in the fourth quarter, a 13-point increase to our Rule of 40 score from the prior quarter and our 10th consecutive quarter of an expanding Rule of 40 score. Our full year Rule of 40 score was 106%. With our 2026 revenue and adjusted operating income guidance, we are guiding to a Rule of 40 score of 118% for the full year. Turning to our cash flow. In the fourth quarter, we generated $777 million in cash from operations and $791 million in adjusted free cash flow, representing margins of 55% and 56%, respectively. For the full year, we generated $2.13 billion in cash from operations and $2.27 billion in adjusted free cash flow, representing margins of 48% and 51%, respectively. We ended the quarter with $7.2 billion in cash, cash equivalents and short-term U.S. treasury securities. Now turning to our outlook. For Q1 2026, we expect revenue of between $1.532 billion and $1.536 billion and adjusted income from operations of between $870 million and $874 million. For full year 2026, we expect revenue of between $7.182 billion and $7.198 billion, U.S. commercial revenue in excess of $3.144 billion, representing a growth rate of at least 115% adjusted income from operations of between $4.126 billion and $4.142 billion, adjusted free cash flow of between $3.925 billion and $4.125 billion and GAAP operating income and net income in each quarter of this year. With that, I'll turn it over to Alex for a few remarks, and then Ana will kick off the Q&A.
Alexander Karp: Well, welcome to our earnings call, celebrating one of the truly iconic performances in the history of corporate performance or technology, just to underscore some of the numbers that Glazer read in a kind of dry form, which is very hard to do. This company grew 93% in the U.S. We had an aggregate growth of 70%. Yes, that's a 70% handle. We have a Rule of 127 and we are guiding to 61% growth this year. Now those results would be stellar, unusual and sublime for a company that was in a much earlier stage of its development. But we have been doing this for quite a while, and you just cannot expect a company like ours to perform at anything like this level. At the beginning of last year, we were guiding to roughly in the 30%, which is -- which would be a stellar performance for a company. At the end of the year, we grew our company almost 20% in 1 quarter. If you were a company sitting in Continental Europe or in Canada or in any other similarly situated country and you grew your whole company 20% and you had a Rule of 50, you would be one of the premier companies in your nation, if not in your continent. And we also did this while supporting in critical manner, some of the most interesting, intricate unusual operations that the U.S. government has been involved in, many of which we can't comment on, but were the highlight of last year and were highly motivating to all of us at Palantir. And so this really just raises the question, what do bombastic numbers like this mean? Because if you're growing a company like ours at 40%, you would then say somehow this is tethered to a broader category, which is doing well. But with a Rule of 127 and 70% aggregate growth, 93% growth in the U.S., you really have to look at this and the numbers speak volumes that we are an N-of-1 category of our own, and we are doing things unlike any other company has done, which has, of course, been confounding to people over the years because they said we were a services company when were doing FDEs. They said that our products were somehow merely software. In fact, they are implementation and orchestration machines. And no one thought we'd be able to generate this kind of revenue while having an anemic and declining sales force. And this obviously has import for the world. And what does it mean for the world? Well, it means that -- first of all, that the way in which we view value is obviously no longer relevant, that the bottom of the stack somehow is where the value is lessened and the top of the stack where we impregnate the world with AI with ontology and FDE and tribal knowledge which is represented at this table, is actually where the value is created. And that value is so large and so disproportionate that you can create a company that seemingly is exploding in terms of growth and quality of growth. It also means the riff we've been saying for years that it's chips and ontology, meaning investing purely in commodity products, the LLMs that are not orchestrated. Of course, it not only ruin the unit economics of your business, but it also provides the market with a very distorted view of what value creation would mean because obviously, if you're making revenue with no way of making profit because the cost of it is so high, that's not valuable. And obviously, if you're producing something that is the same thing everyone else is producing, it's obviously of de minimis or no value. So we've inverted the stack. We've proven that the investment in what we've done is -- with small numbers can have disproportional impact both on top and bottom line. And we've also seen, unfortunately, that there's a real hesitance to adopt these kind of products in the West outside of America and the 2 places leading here are China and America. And what we're seeing in America is so widely divergent. And so the non-adopters, the have-nots are hoping for a catch-up function. But these numbers are a breakout function. With these numbers, you have broken through to a new category. It is not the category -- the basket of category of AI is actually meaningless. It's the basket of category of perform and value creation with the tools we have at hand, of which AI is crucial. And to believe you can go and build companies without this is supremely dangerous. And we're going to see over the next year, companies that adopt things that actually work. We know ontology FDE orchestration is explosive and revolutionary. And obviously, companies cannot be expected to perform at this level because this is truly historic. But how do you even perform at half this level is going to be a real question for tech companies and a real question for countries. Can we produce companies that are producing what we produce in a quarter in a year. And one of the things we've got to figure out in the West is how do we do this? And this is putting enormous political pressure on our institutions because obviously, political leaders struggle with how do I provide value when there is a disproportionate have and have not. Now in the Palantir version, the haves are the workers and the people that know how to actually use these products. And even the ground truth of this is so far away from what people intuitively believe. It's actually not the capitalist against the workers, it's the capitalist and the workers. But that's very confounding to political leaders. And it's confounding to structures that don't know how to adopt this and cultures that are not producing these kind of products. Last not least, these numbers are extraordinary because they're fully organic. They're not just organic because we don't do acquisitions. We don't do acquisitions because we are a thick, dense culture, which means you'd have to fit in. And we have the perfect excuse now of not being able to do them because no one has numbers like this, and they would reduce our numbers to do acquisitions. But they're also fully organic in the sense that we have no intertwined economics. Palantir has direct relationships with our clients in defense, intel and commercial clients. We are not co-investing. We are not investing in commodity products. The numbers are the purity of the Palantir enterprise and the courage of the enterprise. And we have lots of debates internally about what we should do, how we should do it. And -- but from the beginning, we have stuck to our very strong values of expanding what we believe is the noble side of the West, which means being lethal on the front end, meaning outside against adversaries if necessary, hopefully, adversaries do not want to mess with us. And on the inside, meaning domestic institutions, intelligence institutions, essentially taking an incatenation of the fourth amendment, which is completely represented by our pipelining, foundry and impregnating institutions with it so that every institution that uses our product is doing it within conformity of the law and the ethics of America and hopefully, a logical extension of those around the world. Thank you.
Ana Soro: Thanks, Alex. We'll now turn to questions from our shareholders before opening up the call. We received a question from [ Jeff Jay ], who asks, how are you thinking about your international business? And do you anticipate reacceleration in the near future, for instance, due to European rearmament?
Alexander Karp: Well, Shyam and Ryan should comment on this. But one of the big difficulties outside of American allies is -- and again, as these numbers show, it's not how much you spend is with whom. And so we're currently -- first of all, Palantir is in a unique position where we really don't have the bandwidth to do anything that's difficult outside of America. So -- and as this learning curve goes on, it's more and more difficult to help people understand how to implement these things and the demand in the U.S. is so great. But the core issue for our allies is going to be, can we get to a point where there's a clear recognition that you're going to have to buy products that are much, much more advanced than what is building -- being built domestically. And that's complicated for them because they tend to want to buy products from themselves. But if you just go back to a wider frame, is this institution load bearing? Is the purchasing structure of a European country actually allowed to bear the load of buying the best product? Can they understand the delta in a way that allows them to make a decision that might go against the narrow economics of their own country. And I think, unfortunately, what you see is you see in the Arab and non-Arab Middle East, so Arab countries in Israel, you see adoption, you see wide-scale adoption in China, and you see a lack of adoption in Canada, Northern Europe and in Europe in general. And then -- but the real difficulty for the world is if Palantir is going to bear a lot of the weight of this work we are scaling -- I mean, Shyam you should talk about this, but like the demands on our product in the U.S. government in defense and civil are extraordinary. So how do you, in fact, even justify moving into something that's more complicated is a real issue. And again, but the issue ends up being their issue more than our issue. I think one of the things you're going to see in Northern Europe, Canada and other places is a real pressure to move to the left and right politically very far because the way you deal with this -- when you don't have an answer to the question, you come up with ideologies that make no sense and you try to implement them. And that's the pressure they're going to have. The pressure we're going to have as a company, as a country is how do we actually service the demand at the unyielding level of quality that we demand from ourselves. And the bar at Palantir is not we're the best. It says, it's got to be magical. We're not in the business of delivering the best products. We're in the business of delivering magically -- projects that are magical on the front line. And we, unfortunately, can't talk about some of that, but we've seen that in the last year, magical implementations that have actually changed how people view U.S. deterrence. Obviously, the primary heroes here are the war fighters, but the implementation orchestration, which Shyam and many, many people at Palantir have spent tireless nights working on has actually changed what people are able to do. If you have any questions about this, you can actually go -- if you speak or read French, go into the French newspapers. The one of the countries that has the clearest idea of the problem is France, but they don't really know how to solve it because solution involves buying American products, particularly Palantir.
Shyam Sankar: Nothing to add to that. That's great.
Ana Soro: Thanks, Alex. Our next question is from Mariana with Bank of America. Mariana, please turn on your camera, and then you'll receive a prompt to unmute your line.
Mariana Perez Mora: Can you hear me? So 2 questions, as usual. One in the commercial side, the other one on defense. On the commercial side, the markets have already decided that 2026 is the show-me story for AI. Have you seen that in the customers or software partners? Like you talk about this, I think you call it hesitancy, but like over time, you have talked about like this resistance from some corporates to implement AI the way you thought it was the right way. Have you seen a change in that dynamic? The other one is related to ShipOS. Shipbuilding has not been the only thing that the Pentagon has struggled to ramp up. There is a major effort to reindustrialize the U.S. and especially the military-related stuff. But like is there an opportunity to have like, I don't know, an ammo OS or a missile OS and like where else we could see that applied?
Ryan Taylor: So I would say our whole commercial go-to-market strategy is showing and actually delivering value impact to our customers directly as quickly as possible. And that's why we're seeing the stories of customers that are starting at larger sizes and expanding more quickly. We closed -- in our overall business, we closed 61 deals over $10 million. That's because of the impact that we're delivering to customers and the customers are -- I'm having a lot of those conversations with those customers, and they're all -- it's all because we're showing them what we can do with the software, and we're showing the impact, and we're the only one that's delivering that leverage impact from the models with the ontology, with the FDE, with our products in those organizations.
Alexander Karp: In the -- again, here, you'd have to disambiguate America from all other markets. But in the American market, we have inbounds where people have already seen proof points at other companies and not on one use case. It will be like migration of this kind of product, underwriting, a myriad of use cases. And the conversation 2 years ago was much more, I've heard your kind of this weird thing that might be able to make it work. In general, the conversation now is, I've heard you made this work. I don't understand where you fit into a slot. The reality of Palantir is we're not a slot company. So it's like if you want to view us, what people know us for is it will work and it will work really well, and it will be very quick. And then -- but a lot of our customers come now with, I know it will work, what do I need to do to make this accelerate? And then on the end, where it's like not as positive, it might be, I don't quite understand how this would work or why this would work. But there's a lot less of that. And quite frankly, we're in a much better position to shape who we work with than we've ever been. And part of what we're doing, quite frankly, is shaping who we work with because like Ryan is sitting on one of the more interesting deployments, both technically and commercially. And the person running that deployment in their end, de facto is the CEO. And they're very far in the weeds. And it's like -- and they're like they've reshaped their org to absorb our product. And like we've never had anything like -- and it's the same thing, Shyam should talk about this in the DoD, but it's not -- one of the unusual things that, unfortunately, we can't talk about is also just how much we can shape what's going on under the hood, including like how do you orchestrate something in a defense or civilian context. And it's not that we're the deciders, but it is the first time that we can help shape the footprint against which we execute, not in all cases, but in the first -- for the first time in many. And what we need to get done this year is to expand that. It's much more density of client base than volume. We're into transforming large institutions and then making a lot of money with them. It's very counterintuitive. But because of that, they see very deep alignment and they're willing to listen to us when we say, yes, we know that won't work. Like in the past, we had to show them it won't work. Now a lot of our conversations are, look, we know this won't work. Everyone thinks this will work. This is some BS that companies tell you, it's never going to work. If you want the event planning and the steak dinner, you can have that. And quite frankly, some companies are like, yes, we have some part of our company that's not real. We'll use some other company that does event planning and steak dinners for that. And then we're part of the real part of the business.
Shyam Sankar: And on defense and reindustrialization, obviously, reindustrialization is something we've been talking about for the better part of 2 or 3 years now. It's something we're very focused on. It starts in defense, but I think it goes to pharmaceuticals. It goes to chain reaction. We're helping build data centers. So like there's so much activity there that we're uniquely positioned to go after.
Alexander Karp: Shyam is being overly modest. Shyam's phone rings off the hook all day. And what they want from him is, how do I do the same thing across government. That's literally what's happening.
Shyam Sankar: And that's what this is. ShipOS, of course, we're starting with the sub fleet, but people are asking us to help with all sorts of different weapon systems, fighters, bombers, surface vessels, drones, weapons themselves, munitions. And it's a big area for us that spans not only the production of the weapon, but also sustainment of them. And if you think about lethality, the ability to deliver combat power you need an integrated ability to do this from the factory floor to the foxhole. And Maven is a huge investment that has changed how we fight across the joint force on the foxhole side. And what we're doing that ShipOS is really the kernel of and is powered by Warp Speed is how we're going to reinvigorate the factory floor and provide an integrated view to the Pentagon through this.
Ana Soro: Thank you. Our next question is from Dan with Wedbush. Dan, please turn on your camera, and then you'll receive a prompt to unmute your line.
Daniel Ives: Yes. So great to see you again. And look, obviously, a phenomenal quarter. My question is, does it feel like you're getting more and more of the budgets on the commercial as well as even on the government defense side, where you go in to do X and all of a sudden instead you're doing Y. Is that starting to happen now? You're just getting a bigger and bigger piece of these budgets when Palantir comes in?
Alexander Karp: Well, if you look at our numbers very closely, what you will see is inexplicable growth in revenue, but not inexplicable growth in customers. And it's inexplicable growth in revenue because customers that are serious are putting a lot of their most important problems in our hands. And then the value creation, we're downstream from that, but the value creation is so large. So it's both -- it's not just that you get more problems. It's that you solve them in a way that is determinative from the business and then they pay you a lot more. And then there's also just this consensus, right or wrong, that the alternatives to us are not great. It's like I'm constantly -- before these calls, I get 50 text, could you please be more modest? And it's an issue. But we struggle -- we all struggle with something. But the thing is, I think the true answer to this, it's not like -- I don't understand this false modesty of like the customers we work with know that we know things other people don't. And we've been sticking to the way we do things for a long time. And now AI has just put gasoline on all the tribal knowledge we have in our products. And I would say -- and then we're much better at actually, I wouldn't say being modest, but saying, you may be a customer or a country that's not getting this right now, like Western Europe. I'm very pro-Western Europe. I've been admonishing Germany -- in German to like wake up because I care, not for commercial reasons. But the reality is most people there are not -- they're not ready. So it's like we're very -- we're in a position to say, yes, you understand what we can do, and this is how it would work. The best examples are in all the stuff Shyam is doing and other people are doing in government, which cannot be talked about. But the initial discussions are like, well, how would you shape the problem? No one is -- it's like that's what people want from us. There's -- like our weapon software is in every combat situation I'm aware of. Now maybe the more people with higher clearances are aware of some things we're not involved in. So -- and people say, well, this should not have worked and it did. And then on the commercial side, which is, I think, of great interest to investors, I mean, that's why we have these -- that's why we have a Rule of 127. That's why we're growing 93% in the U.S. That's why our guidance is at 61%. It was at 31% last year at the beginning of the year, something like that. So it's like it's because we have a very tethered and deep and dense proximate relationship with the leaders in almost every field of industry. And last, adjacent to your question, but it's like -- and these relationships are not circular pay relationships in any way. It's like we are -- we provide value. I tell -- I mean, not that it comes up very much, but I used to tell people all the time, just imagine we're a Swiss company, but you have to pay us a little bit. Like we deliver a high-value product. We don't want any BS about getting paid. We're not going to give you any BS about why our product didn't work and offer you a steak dinner or an event planning event. We're going to deliver and then we get paid. And like -- and we got paid last year, a lot, 127%, 70%, 93%. Those are my favorite numbers.
Ana Soro: Thank you. Alex, as always, we have a lot of individual investors on the line. Is there anything you'd like to say before we end the call?
Alexander Karp: When we are thinking about what we're building, we are building these things with our internal culture, our defense clients, partners and with a great thought to people who put their own money into Palantir. And it's just a very important part of why we continue to perform and what motivates a lot of us here and definitely me. And I hope that you are having a great time when you run into professional analysts who thought we would never be free cash flow positive, we'd never be profitable. We'd never have a 2 handle, a 3 handle, a 4 handle, a 5 handle and now a 7 handle on our aggregate growth and the Rule of 40 was some unattainable category, although 127% is unattainable by everyone besides us. So I hope you're enjoying the ride. There's always ups and downs and there are ups and downs for all of us. We've been doing this for a long time. And -- but we're having fun tonight. I hope you are too. And yes, congratulations.
Ana Soro: Thank you. That concludes Q&A for today's call.